Operator: Hello, and welcome, everyone, to the LCI Industries Fourth Quarter and Full Year 2024 Conference Call. My name is Becky, and I'll be your operator today. [Operator Instructions] I'll now hand over to your host, Lillian Etzkorn to begin.
Lillian Etzkorn: Good morning, everyone, and welcome to the LCI Industries Fourth Quarter and Full Year 2024 Conference Call. I am joined on the call today with Jason Lippert, President and CEO; along with Kip Emenhiser, VP of Finance and Treasurer. We will discuss the results of the quarter in just a moment. But first, I would like to inform you that certain statements made in today's conference call regarding LCI Industries and its operations may be considered forward-looking statements under the securities laws and involve a number of risks and uncertainties. As a result, the company cautions you that there are a number of factors, many of which are beyond the company's control, which would cause actual recent events to differ materially from those described in the forward-looking statements. These factors are discussed in our earnings release and in our Form 10-K and other filings with the SEC. The company disclaims any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur as of the date the forward-looking statements are made, except as required by law. With that, I would like to turn the call over to Jason.
Jason Lippert: Good morning, everyone, and thank you for joining us on our fourth quarter and full year 2020 earnings call. Today, I will go through our highlights for the year, provide an update on the industry backdrop and how we will strive to continue to expand our market leadership in 2025. Then I will break down our business performance by market and outline our financial strategy before turning it over to Lillian for a deeper dive into our financials. Starting with highlights from the year, 2024 proved to be a good year for Lippert as we showcased the resilience of our diversified business by delivering year revenue of $3.7 billion, down only 1% despite a challenging RV and marine backdrop. As our presence in various end markets such as building products international and aftermarket helped offset some of our headwinds and should effectively position us to reach our organic target of $5 billion in total revenue in 2027. We expanded our market leadership across our top 5 product categories, appliances, awnings, chassis, furniture and Windows, which together accounted for 71% of our North America RV OEM sales. We experienced 7% organic growth in the automotive aftermarket due to market share gains, demonstrating our leadership in the towing and truck accessories markets. We also feel that our [ curtain ] ancient acquisitions are really starting to gain momentum. We increased EBITDA by $89 million despite a weaker sales and mix backdrop by delivering cost savings and operational improvements, helping to pave the way for a return to double-digit margins as we strive to deliver further operational improvements. We supply game-changing innovations, especially our [indiscernible] coil suspension, our Furrion shelter conditioner technology and our Lippert analog brake systems for Towables. We feel that these products clearly set us apart from our competitors and help drive organic content for towable RV, up 2% year-over-year in 2024. We are successfully delivering on our new Camping World partnership with product sales up 62% in their stores, we should be positioned to capitalize on more growth in 2025. Our goal this year is to [ upfit ] approximately 100 additional Camping World stores with different merchandising. Camping World has told us they are ecstatic with what we are doing as our partnering efforts are helping to drive their in-store and online aftermarket parts sales. And finally, we reduced net debt below 2x EBITDA as we created cash flow from operations of $370 million as we exit 2024, we're in a really good position, competing in what we believe are the right categories and markets to strengthen our leadership and drive continued market expansion. None of our 2024 success or 2025 vision will be possible without an incredible team. We are grateful for their hard work, dedication and relentless drive to push us forward. Our commitment to excellence and innovation is what makes our success possible. I couldn't be more excited to continue building with them in 2025 and [indiscernible] as we execute on our vision and help the business reach new heights. Moving to the industry and macro backdrop. We are causally optimistic moving into 2025 as we are seeing that the RV backdrop has modestly improved. Orders are starting to improve, and the signs at many retail shows are more positive. Our January RV sales are up 17% as dealer inventories are at their lowest point in recent history, which should create a favorable environment for demand. Also encouraging our reports that interest rate declines have helped the dealer floor planning outcomes. If you take these things and consider that the dealer profits are starting to improve, we believe there is a pretty good case to feel strongly that 2025 will hit its wholesale and retail estimates. Product mix is also looking like it will be in a much healthier situation and consumer optimism is on the rise. As a reminder, historically, when the industry comes off a 2-year downturn, we usually see 3 to 7 years of industry growth. And if the same trend occurs as in the past, we believe we stand in a great position to capitalize on those tailwinds. So how we expand our leadership position in 2025? Well, first, I want to emphasize that our market leadership matters. Over the last 3 decades, the team and I feel is that we built meaningful brand authority and trust with our customer base, which we believe has created a strong foundation [ of ] cross-selling, whichever products we decide to manufacture. This strategy should help to continue to drive scale and other advantages that we believe make us the low-cost provider and go to for all things innovation. It also should give us a significant advantage as the supply side consolidates because we usually stand out when there are fewer choices because of our innovation and creativity. However, it is in our market position alone that sets us apart. We think our competitive moat is built on many advantages that make us a trusted partner. I'll talk about 7 of these that we believe position us to capitalize on industry tailwinds, drive sustained market share gains and outperform the market in 2025. Each of the following points reveal our opinion of our place in the market and what should help us continue to succeed. First, our best-in-class manufacturing attracts new customers and expand wallet share. This expertise and the decades of investment behind our high-precision manufacturing ecosystem should make it incredibly hard for others to replicate our manufacturing capabilities and speed on complex components across these, boats and other product categories. Second, our extreme product breadth should give us a natural advantage in cross-selling, bundling and expanding our footprint with existing customers. Third, we are the leaders in RV and Marine innovation. Innovation has been part of our DNA for over 25 years as we started launching products beyond chassis that our customers were asking for. We have so many new exciting projects in the pipeline and in 2023 and 2024, we launched some significant products like our glass patio systems. 4K Windows, ABS, PCS and the [indiscernible] to name a few. With these products, we believe we have essentially created another $500 million in addressable market for RVs. Fourth, we deliver unmatched dealer support through our robust technical support network. This is a significant competitive advantage that most people don't realize because we are touching customers on forming significant relationships outside of the OEM channel. From our mobile service teams that bail out customers who have broken down on the road to our tech teams that travel to dealers every week service trainings to our 200 customer service agents at our care center in South Bend, that handle over 1.25 million customer interactions. The dealer body relies on Lippert to help train and fix issues around thousands of products that are constantly changing or being added to our portfolio. Fifth, we're the low-cost producer. Decades and manufacturing expertise, along with our immense volume should give us the purchasing power, which allows us to deliver exceptional value while protecting our margins. Six, we are an effective consolidator. With a solid balance sheet and strong track record of strategic acquisitions, we should have flexibility to pursue any compelling opportunities that arise. With this team having done over 70 deals in the past couple of decades, acquisitions are in our DNA. Finally, our leadership team has seen it all. We've successfully navigated many economic cycles, industry cycles, but most importantly, over the last 20 to 30 years, our team has developed a lasting and consistent culture built on trust, and long-term meaningful relationships with our OEM partners and with each other. In addition to expanding our market leadership in 2025, we will strive to drive operational leverage and optimize overhead costs to ensure our fixed cost structure remains as efficient as possible, supporting profitability and long-term value creation as we progress back towards double-digit operating margins. To prove how serious we are about making sure our cost structure is optimal. We have set a stretch target of an 85 basis point improvement for this year in our overhead and G&A cost structure. I'll now move on to our results by business. In 2024, RV OEM net sales totaled $1.7 billion for the full year, up 7% versus the prior year, reflecting continued market share gains across our top product categories. This growth came despite mix shift towards smaller towable units as many of our products remain critical to RVs and should be insulated from decontenting risks. At the Tampa RV Super show, we showcased innovative products that are driving new business wins for 2025. Some recent innovations, as we mentioned earlier, that continue to gain momentum, our [ touring ] coil spring suspension, which has drawn significant interest from OEMs and dealers alike and opens a new addressable market worth more than $150 million. Currently, it has been launched by a few top 10 towable brands with more top brands adding it this coming model year. Our antilock braking system, which has been adopted by many leading towable RV brands and gives us access to $150 million of market opportunity. We also anticipate this product will emerge as a standard across utility and cargo trailer segments in the near future, creating even more total addressable market with this great product lineup. Our [indiscernible] [ Helix Coil ] spring [ Fifth Wheel ] pin box was recently awarded Best New Exterior accessory at the [ SEMA ] Show in Las Vegas, Nevada. Our Furrion Shelter conditioner, by far the quietest and most powerful in this class amongst the other air conditioner brands has gained immediate interest from OEMs and consumers alike, further strengthening our position in this category as the new leader in HVAC systems. We also continue to expand RV content with larger windows and glass entry doors for 2025 models, which provide more natural light and then a greater functionality. Frankly, RV has incorporated these square bounded windows with integrated shade systems in their high-end units, demonstrating the premium value that these products bring to the market. We have invested over $50 million in glass processing technology over the last few years to keep us leading in all things glass and windows. Looking ahead, we're confident we can capture additional content opportunities as wholesale shipments and product mix normalize, and that organic content growth should return to 3% to 5% annually. For 2025, we project 335,000 to 350,000 wholesale shipments or more than $100 million of additional RV OEM sales at current content levels to our top line as we strive to capitalize on the nearly $3 billion in addressable opportunities for the current products. Supporting these projections, [ Blue Compass], the second largest RV dealer in the country reported record sales of the Tampa RV show, up 20% from their best prior year. Furthermore, LCI's January sales increased 17% year-over-year, which we believe are all signs that point to the improvement in the industry backdrop. Turning to the aftermarket. Net sales were $881 million for the full year, roughly flat year-over-year. Strength in the automotive aftermarket was offset by some softness in the RV and marine aftermarkets. Operating profit for the aftermarket segment remained strong at 12.6%. A [ Kurt ] family of products, including hitches, towing solutions and truck accessories, delivered impressive growth of sales increasing 7% and during the year, contributing 54% of the total aftermarket revenues. [ Kurt's ] strong performance underscores our ability to execute meaningful acquisitions that ultimately contribute to sustained growth. Notably, our ranch and truck accessories are featured on trucks in the hit TV shows [ land man ] and the Yellowstone. Camping World's furniture business acquisition and accompanying supply agreement has continued to exceed our expectations as we have outfitted more than 14 Camping [ World Darby ] part stores. With Lippert products in these stores, increasing our sales with the world's largest RV retailers, 62% year-over-year. We expect continued growth as we plan to further expand the selection of Lippert products online and in Camping World locations. In addition, other dealerships have taken now and are asking for our help to at their stores. Our Furrion suite of appliances acquired through another acquisition includes backup observation cameras, ovens, hot water heaters, refrigerators, microwaves, furnaces and air conditioners. It continues to help drive aftermarket revenue through the upgrade repair and replacement cycle, contributing $56 million to our aftermarket group sales alone for the year, a 22% increase over 2023, again demonstrating our ability to grow acquisitions. We feel that Furrion is a perfect example of how we can impact the aftermarket significantly by driving meaningful OEM volume with new acquisitions that have large product portfolios like Furrion. To further capitalize on the aftermarket, this large numbers of vehicles transition out of the warranty periods, we've emphasized [indiscernible] training programs, strengthening the dealer's knowledge of and preference for Lippert products by equipping technicians with the expertise to service and install our offerings effectively. Over the course of 2024, we trained 36,000 dealer service personnel. We had 1.6 million views of our tech support seminars. We had 65,000 technical product class completions, and we had 2.1 million overall page hit on our How-To Technical Service Pages. All in all, our aftermarket business represents more than $10 billion in addressable market. Our presence has grown substantially since our entrance in 2013, and we will continue to focus on organic and inorganic growth in this critical area for us. Turning to adjacent markets. Net sales decreased 13% to $1.1 billion for the full year when compared to the prior year, largely due to weak demand in marine as dealers continue to optimize their inventory levels. Excluding North America Marine sales, adjacent [indiscernible] were $867 million or only down 6%. In the year, we feel as though we've made significant strides in several end markets that position us well to achieve growth moving forward. In the utility trailer market, we've leveraged our core expertise in axle manufacturing to supply leading brands like [ BJ Trailers, tens, Nova and Big Tex trailers] With approximately 600,000 utility and cargo trailers built annually, we believe this market is a significant growth opportunity for LCI content. As we continue to gain share, we plan to introduce several advanced upgrades such as ABS and TCS, further enhancing utility trader suspension performance and safety for the end consumer. In the world of utility trailers, axles are the largest single content item. Additionally, our window and glass products are successfully adding to our content gains in areas like off-road vehicles, school buses and transit buses, with our on-highway and off-highway transportation markets. This represents a significant content opportunity as approximately 70,000 buses of all types are built annually. For Building Products, we have gained notable traction in residential windows over the past few years, growing this business by $20 million as more residential distributors and builders recognize the value of our entry-level vinyl window products. Our entry-level product has been so successful that we just launched a more premium residential product lineup. This represents only one of the many products we have that have been gaining share with builders. Others include our chassis for manufactured homes, residential [indiscernible] form components for tubs and showers. Turning to capital allocation. Our strong performance and effective inventory management generated $370 million in operating cash flows over the last 12 months, enabling us to pay down $89 million in debt and reduce leverage to below 2x. Our solid balance sheet should position us well to pursue a robust pipeline of M&A that aligns with our strategic goals in existing markets. We feel as though we have a proven track record for driving value through acquisitions, focusing on companies with experienced leadership teams, exceptional products and significant growth potential. In addition to M&A, we remain committed to funding innovation and operational improvements to drive long-term growth while maximizing shareholder returns. This past quarter, we advanced our commitment to returning cash to shareholders by raising our dividend 10% to $1.15 per share. Providing this value to shareholders remains a key priority and reflects our confidence in the strength and resilience of our business in the short and longer terms. Closing with culture is intangible, but it truly drives results at Lippert as we remain committed to maintaining a great workplace where we have the best leaders driving on values consistently. When we create a great workplace, people tend not to leave very often, which helps create a lot of consistency and momentum in the manufacturing processes and the overall business results. Even in a difficult year like 2024, our retention was better than industry average. This year, we probably surpassed our ambitious 100,000-hour volunteer initiative goal though our team members by holding events such as a built-to-serve event in Fort Wayne, Indiana, where Lippert leaders supported Shepherd's House, a [ not ] for profit, providing long-term care for homeless veterans facing addiction and mental health challenges, along with hundreds of other events put on by our teams to assist our communities where there is need. We are trying to set an example for many other businesses to follow because we believe by doing this business can be a greater force for good in the world. Our inclusion on Newsweek's 2025 list of America's most responsible companies highlights our continued progress in environmental, social and governance initiatives. We also advanced our sustainability efforts by implementing resource and waste monitoring across some of the facilities and publishing our third year of Scope 1 and 2 greenhouse gas emissions data. These initiatives reinforce our focus on transparency and accountability, supporting Lippert's vision of long-term growth, the benefits of stakeholders. In closing, I want to thank our dedicated team members once again for their incredible efforts. We believe Lippert is well positioned for long-term success, and we are excited about the road ahead as we continue to innovate, deliver exceptional customer experiences and create value for all of our stakeholders. I'll now turn it over to Lillian, who will provide more detail on our financial results.
Lillian Etzkorn: Thank you, Jason. Lippert's strong reputation for best-in-class quality and service, along with our robust portfolio of innovative products fueled share gains during the quarter. However, revenue growth remained constrained as persistent softness in retail demand across the RV and marine markets continued. Our consolidated net sales for the fourth quarter were $803 million, a decrease of 4% from the fourth quarter of 2023. OEM net sales for the fourth quarter of 2024 were $621.6 million, down 6% from the same period of 2023. RV OEM net sales for the fourth quarter of 2024 were $376 million, down 3% compared to the prior year period, driven by a 24% decrease in motor home wholesale shipments and a shift in unit mix towards lower content single-axle travel trailers. These impacts were partially offset by a 7% increase in North American travel trailer and fifth-wheel wholesale shipments and overall market share gains. Content per towable RV units was $5.97, up 1% compared to the prior year period, while content per motorized unit was up 7% to $3,742. Content per towable RV unit was up primarily due to increased adoption of Lippert innovation, largely offset by a continued shift to single axle trailers, which have less content overall. These trailers accounted for about 24% of production in Q4 of 2024 compared to the prior year of 20%. Typically, we would see a mix range of about 16% to 19% for these units. Organic content increased 1% sequentially and 2% year-over-year, supported by the share gains we delivered in the top product categories we supply to the RV OEMs, specifically appliances, awnings, chassis, furniture and windows. Aftermarket net sales for the fourth quarter of 2024 were $181.6 million, an increase of 1% and compared to the same period in 2023, primarily driven by continued growth in the automotive aftermarket, partially offset by softness in the RV aftermarket, which has been negatively impacted by lower consumer discretionary spending. Adjacent industries OEM net sales for the fourth quarter of 2024 were $245.5 million, down 9% year-over-year primarily due to the lower sales to North American marine and utility trailer OEMs. Marine sales were down 15% due to the impact of inflation and still high interest rates on retail demand, and we expect softness in the marine industry to continue for the first half of 2025. During the quarter, this decline was partially offset by increased sales for Building Products as we continue expanding our footprint in this market, by capturing demand for core products, supplying axles to top trailer brands and adding windows in off-road vehicles, school buses and manufactured housing. Gross margins for the fourth quarter of 2024 were 21.1% compared to 19.2% for the same period in the prior year period, supported by decreased steel prices lower inbound freight costs and the impact of material sourcing strategies we've implemented to lower input costs. Consolidated operating profit during the fourth quarter was $16 million or 2% and a 170 basis point improvement over the prior year period. Operating margin expansion was supported by operational improvements, such as further facility consolidations and overhead reductions. I would also like to highlight that our warranty costs reduced by $9 million during the quarter. For the full year, warranty costs have decreased about $29 million compared to the prior year period, driven by the implementation of product quality initiatives. The operating profit margin of the OEM segment increased to 0.3% in the fourth quarter of 2024 compared to a loss of 1.8% for the same period of 2023. The aftermarket segment delivered a 7.9% operating profit margin, in line with the prior year period. GAAP net income in the fourth quarter was $10 million or $0.37 a earnings per diluted share compared to a net loss of $2 million or $0.09 loss per diluted share in the prior year period. EBITDA In the fourth quarter was $46 million, a 29% increase compared to the prior year period, driven by higher earnings, along with a 46% decrease in interest expense over the prior year period, reflecting our lower levels of debt in 2024 and improved provisions for income taxes of about $6 million. Moving on to full year 2024 results. Full year net sales were $3.7 billion, down 1% year-over-year. Sales to RV OEMs increased 7% to $1.7 billion, driven by a 13% increase in wholesale shipments of travel trailers and fifth wheel units in addition to market share gains, partially offset by a 24% decrease in motor home wholesale shipments and a shift in unit mix towards lower content single axle travel trailers. Sales to adjacent markets decreased 13% to $1.1 billion in 2024, primarily due to lower sales to North American marine and utility trailer OEMs, driven by current dealer inventory levels inflation and elevated interest rates competing retail consumers. Aftermarket sales were relatively flat when compared to the prior year at $881 million as gains in the automotive aftermarket effectively offset impact from lower RV and marine aftermarket demand. Total company operating profit margin for 2024 was 5.8%, up from 3.3% in 2023. The operating profit margin of the OEM segment increased to 3.7% for the full year compared to 0.6% for 2023 as we made significant operational strides. The aftermarket segment delivered a 12.6% operating profit margin compared to 12% for 2023, which made up over half of our total operating profit despite only making up 24% of total sales, demonstrating how our diversified business exposure has effectively supported profitability. Noncash depreciation and amortization was $125.7 million for the 12 months ended December 31, 2024, while noncash stock-based compensation expense was $18.7 million for the same period. We anticipate depreciation and amortization in the range of $115 million to $125 million during the full year 2025. At December 31, 2024, our company's cash and cash equivalent balance was $166 million compared to $66 million at December 31, 2023. For the 12 months ended December 31, 2024, cash provided by operating activities was $37 million, with $42 million used for capital expenditures used for acquisitions and $109 million returned to the shareholders in the form of dividends. Additionally, the company had net repayments of indebtedness of $89 million. As of December 31, 2024, our net tory balance was $737 million, down from $768 million at December 31, 2023. At the end of the fourth quarter, we had outstanding net of $591 million, 1.7x pro forma EBITDA adjusted to include LTM EBITDA of acquired businesses and the impact of noncash and other items as defined in our credit agreement. For the month of January, sales were up 6% versus January 2024, with RV sales up 17% and aftermarket up 6%, offset by softness in international and other adjacent markets. We are anticipating an estimated full year wholesale shipment range of 335,000 to 350,000 units as lingering consumer demand headwinds begin to abate. As we think about Q1, we expect overall revenue to be about flat year-over-year. We expect RV OEM sales to be up about 9% and we expect continued softness in marine and international markets. We also expect operating margin to be flat to a slight improvement over Q1 of 2024. Looking to capital allocation for the full year of 2025. Capital expenditures are anticipated to be in the range of $50 million to $70 million. We continue our aim to utilize our balance sheet to pursue strategic opportunities that help us capture profitable growth and deliver shareholder value while maintaining a long-term leverage target of 1.5 to 2x net debt to EBITDA and maintain our commitment to returning cash to shareholders. We intend to further strengthen our financial profile by making consistent operational improvements to our business while supplying innovative products that result in market share expansion throughout the business. We expect to see industry recovery across the markets we serve over the next several years. In addition to organic growth fueled by our market share expansion, we look forward to continuing this progress driving sustained profitable growth as we advance towards our $5 billion revenue target in 2027, while remaining committed to returning to double-digit margins. That is the end of our prepared remarks. Operator, we are ready to take questions. Thank you.
Operator: [Operator Instructions] Our first question is from Fred Wightman from Wolfe Research.
Frederick Wightman: I was hoping to -- I'll start with the tariff question. I'm hoping you could just level set sort of what you have contemplated in your outlook for the year as far as steel and aluminum tariffs, maybe where inventory levels stand? How you're thinking about pass-through? I know in the past, you've sort of talked about a 2-quarter lag on the pricing front until contracts reset, but maybe just to start with tariffs.
Jason Lippert: Yes. Sure, Fred. Thanks. Well, we haven't put anything into the plan. So our plan doesn't reflect anything for tariffs. It's obviously still fluid. There's a lot of things we can talk about here. I think the first and most important thing is that chassis are our largest product -- is our largest product on our portfolio and almost 99% of the steel from those products or for those products come from domestic sources. So our largest product line, we don't have any issues. But if you look overall, it's probably we're calculating with what we know today about 50 bps of impact. And we feel we can mitigate most of that either through pricing that's onetime or through our indexes. We certainly will get a lot of help from our suppliers. Our suppliers don't want to lose the business. So they're working with us to mitigate some of that. We've been through this before and mitigated a good chunk of it, and we'll do it again this time. It's just -- there's just a lot of moving parts and pieces, but does that help frame it up?
Frederick Wightman: It does, yes. So just to confirm, when you're saying the 50 basis points is just the steel and aluminum tariffs? Or is that sort of assuming China as well to --
Jason Lippert: To clarify, that's China, that steel and aluminum. The steel aluminum would be much less, obviously, because we're just not -- we don't have the kind of impact of all the domestic sourcing we have.
Lillian Etzkorn: So Fred, your comment on the steel aluminum, you're correct that we already have pass-through mechanisms on those 2 commodities. Those are commodities that historically we've passed through cost increases. We've -- and decreases at the same time. So I would expect that we would continue to fully execute on that model on a go-forward basis for the tariffs to Jason's point to mitigate the impact there.
Frederick Wightman: Okay. And then on content per unit. There were a couple of comments about just healthier mix and then you gave the disclosure about the percent for single axle. It looks like it ticked up a little bit sequentially. So can you just help us think about maybe where that single axle mix is expected to trend this year? And then maybe what that means for content per unit in towables specifically?
Jason Lippert: Yes. Yes, it's obviously risen in the last couple of years. I would say that if you look at our total chassis output on single-axle trailers, in '24, it was about 12,000 units more than in '23. And we build most of those obviously most of those units. We saw it tick up a little bit for January about 1,000 units over last January. But our anticipation is that, that starts to subside and normalize sometime in Q2. We've had a lot of conversations with dealers, and they're very aware of the mix situation and feel that we've kind of blown inventories on that product pretty well over the last 1.5 years. So there's a lot of brands making that single axle trailer, where if you go back 2 or 3 years ago, there was only a couple of brands making the trailer. So yes, I saw it tick up a little bit for January and might see a little bit of a flat to up trend this year, but I would say that we're going to see mix normalize here sometime after the start of Q2.
Operator: Our next question is from Daniel Moore from CJS Securities.
Dan Moore: Maybe just talk a little bit about, obviously, January started up the year strong. You expect dealers to continue to restock through kind of January through February, March, April time frame ahead of the -- ahead of the kind of spring selling season, just any additional color in terms of what you're hearing there would be helpful.
Jason Lippert: Yes. I think -- sorry, I got a [indiscernible] in my throat. I think a couple of comments I'd like to make. If you look at Q4, we were averaging about 4,100 chassis a week. Q3 were about 4,400 a week. Q2 last year, we were close to 5, 200 a week. We're averaging 5, 300 a week this year already. We have some pretty good visibility in the February and March. February started out just a strong March feels pretty comfortable commentary from all the dealers, including ones I talked to you just in the last couple of days, pretty strong January for the good dealers. I'm sure there's dealers out there that are struggling, but the big players seem to be seem to be having decent shows and decent volume and retail traffic on their [ lots ] through year-to-date. Is that helpful?
Dan Moore: It is. It is. And just talk maybe a little bit more color about penetration and acceptance rates for some of your more recent innovations. Obviously, you mentioned suspension systems, anti-lock brakes, glass entry doors, windows series. Any -- I know you don't have necessarily divulge hard and fast data, but just how do we think about how those penetrations might ramp into, say, [indiscernible] '26 versus '24, '25?
Jason Lippert: Yes. Yes. So if you look at like some of the products you mentioned, [ Chile, ABS or TCS Windows, Helix]. We've got close to a $500 million total addressable market we've created with those products in the near term. I would just say you got to think about it as like TCS, for example, we're really excited about that product for a lot of reasons. Obviously, it improves the durability and the long-lasting of a lot of the components that go in the RV by lessening the vibrations that the unit experience is going down the road. But it's an $800 to $1,200 piece. So those more expensive pieces take longer to penetrate, but how this market works, it's a me-too market, and we've got that product starting out on the right brands. It's had great success at the shows. And ultimately, the consumers are going to want products that make the experience better and help lend to a better quality unit over time. So ABS is double digits up from last year in terms of product placement for this upcoming model change in June. So window is not as pricey as TCS and ABS, but that's seeing progress. We should be the we should be the largest air conditioner manufacturer in the industry after this year with the launch of the [ Coupe ] and the success that that's had. So we're having good success so far. And I would just look at it an expensive products, just take a little bit longer time to penetrate, but maybe think of it that way.
Dan Moore: Okay. And then just want to clarify, I appreciate the commentary on tariffs, potential 50 basis point headwind mitigated to some degree, offsetting that got hopefully a better year in terms of RV shipments a little bit more overhead absorption. So how are you kind of thinking about a range of operating margin for '25 relative to '24 when you put all that together?
Lillian Etzkorn: Dan, we're not putting out a specific margin target for this year, but how I would characterize it as we're looking moving through the year. I would think about incremental margins at about 25%. So the leverage that we'll get from the volume increase will definitely help increase the margins. We'll also continue to be very focused on cost reductions. You saw us from a nonmaterial perspective, we shared that we had over $28 million of cost reductions in 2024. We're targeting to implement comparable types of levels as we're looking at 2025, again, nonmaterial related. So looking to reduce the overhead costs, G&A related types of expenditures, which will also improve margin. So we're expecting a reasonable margin uplift this year. Obviously, the tariffs are an overhang that the team needs to work aggressively to mitigate, but we are confident that we'll continue to expand the margins as we progress through 2025.
Jason Lippert: To add puts and takes there, but the only thing I'd add to what Lillian said is just the fact that as we come out of these cycles, and we're clearly seeing a little bit of an inflection point at the present. We are going to lack -- I mean we have costs locked down. So it's a lot easier to control those out of the gate versus we're 24 months into an upswing, and we're having to open factories back up. But we're still closing a few factories and considering some business units, which is really helpful, and we've got cost lockdown, especially in G&A and overhead. So I think that's going to continue to play favorably for us in the quarters to come.
Operator: Our next question is from Joe Altobello from Raymond James.
Joseph Altobello: I guess I'll start with operating margin for '25. I know you're not getting a target. But if we think about the, I guess, the 3 buckets, you mentioned the 25% incremental margin on volume. And then I think you mentioned earlier, 85 basis points of improvement in overhead and G&A cost saves. And then the third bucket would be the tariff that would sort of offset that. Is that how we should be thinking about the margin for '25?
Lillian Etzkorn: From the 2 -- the first 2 buckets, yes, in terms of the incremental margins at 25% for incremental revenues, the cost reductions. And again, the areas that we're focused on there that Jason highlighted, it's continued facility reduction, which -- we did quite a bit in 2024. We're continuing on that journey. It's reduced overhead with from an FTE perspective, again, just trying to really be as efficient as we can and continued reductions in general overhead costs and direct spend. From the tariff perspective, while -- based on what we know today and unfortunately, things do seem to change every day. And the team has been very flexible with the fluidity. But based on what we know with the disclosed and implemented incremental tariffs for China, for the additional tariffs for steel and aluminum, we're saying from a China perspective, it's about a 50 basis point headwind that we're working to [indiscernible]. Steel and aluminum, we already have pass-through mechanisms that have been in place for years. We'll continue to leverage those. So not necessarily anticipating the tariffs are going to be an overhang to the margins. That said, day-to-day, I wake up and I look at the news to see if there's something new. So things could change on the tariff front that we're not anticipating at this point. So just staying very flexible there and adjusting as we need to.
Jason Lippert: Yes. Well, we know today, I think the clearest way to say it is that we feel pretty confident that we can mitigate most of that. What we don't know coming in the near future, and we'll deal with that stuff as it comes. But with what we know today, we feel pretty confident we can mitigate most of that.
Joseph Altobello: Got it. Okay. And Jason, just kind of shifting over to your retail outlook for the year. Your commentary on the call has been pretty upbeat. But if you look at the numbers, I guess, you're looking for kind of flattish retail this year. So maybe help us to understand sort of the disconnect or the perceived disconnect there and maybe what the variables are that would get you towards the lower end or higher end of that range?
Jason Lippert: Yes. I mean there's a lot of puts and takes in moving parts, but we feel -- we've been obviously stunning in the last couple of years on retail. So I think we've tended to play it a little bit more conservatively, but I mean we can certainly make a case for the higher end of that [ $3.45 to $3.60 ] range. I've got a lot of confidence in the industry. We've been around it for a long time, and we make a lot of great products that serve a lot of different areas. Certainly, with the mix that's happened in the recent years, we've got we've got these smaller units that can be used for a lot of different things. I think we'll still see some maybe some pickup on FEMA this year. There's been more talk about that recently as the new administration has gotten involved and had some conversations. We know there probably will be some FEMA this year to replenish the stock that they normally keep. So there's a lot of moving parts and pieces, but I think, all in all, we feel pretty bullish that we'll be at the mid- to high end of the retail spectrum.
Operator: Our next question is from Scott Stember from ROTH Capital Partners.
Scott Stember: Jason, if we talk about the aftermarket speaking specifically to Camping World, can you just give us a frame of reference of how many stores you're in right now? And what do you expect to be and, I guess, 100 more by the end of this year?
Jason Lippert: Yes. Yes. So we're going to have to bring on some resources to do that. We kind of did the last 14 to come slow, worked really closely with Camping World to make sure we were doing what they needed. Obviously, we completed the acquisition and the supply agreement and our new partnership there, middle of last year, and it took us a few months to get going. And then we upped those stores toward the tail end of '24. They like what we've done. I think they're pretty static with what they've seen so far. It's really given a nice little facelift to some of their depart stores. And our goal is to bring on some resources here. We're doing that as we speak and then start up fitting as many stores as we can. They'd like to do it on all of them, but we -- they've got a couple of hundred stores and we can't [indiscernible] it all off that fast. So it's been great where our products are getting a lot of face time and frontage and good areas in their stores. So the customers that are coming in see our products right away and been very focused on helping us sell through those inventories. So it's been really good so far. And other dealers are asking us today also to do some facelift for their part stores as well.
Scott Stember: And going back to the RV side of the equation for aftermarket. You talked about the current business being up. How did the RV side do? And are you seeing at least in January, any signs of break fixed kind of repair demand picking up?
Jason Lippert: I haven't seen the repair pickup yet. We were down just a little bit on the RV side last year, but you typically see those ebbs and flows on the aftermarket side, like you do -- on the retail side, there's less people in the stores. There is the argument there's a little bit more renovation and things like that when retail sales are down, but our aftermarket RV business wasn't down as much as our or other businesses. So I expect that with the 21 and 22-mile years that we built over 1 million units for we're expecting those RVs to come out of the warranty and into the repair and replacement cycles, customer pay cycles here in the very near future. So we'll keep you posted.
Scott Stember: Got it. And then on the European side, can you talk about what you're seeing from the European OEMs on the RV side?
Jason Lippert: Yes. I think they've struggled the last couple of months. If you just break it down simply, the European businesses feel very strongly that first half is down, second half is up over last year. So kind of flip-flop of what they saw last year. Last year, they had a really decent year last year. The first quarter was up and the second half -- the first half was up and the second half was down in this year and are expecting the first half to stay down and depressed and see a little bit of an uptick in the second half, still I think 200,000 total units, which is still a reasonable year considering they're going to have a soft first half.
Operator: Our next question is from Mike Swartz from Truist Securities.
Michael Swartz: Maybe just to start, and I apologize if I had missed this, but just in the quarter, Lily, what was the impact of, I guess, pricing mix on the towable content?
Lillian Etzkorn: In terms of the pricing mix, it was pretty -- it was pretty benign. I mean really, I'd say, less than a point in terms of that. We really haven't seen the magnitude of an impact there as we had historically. Really, when I think of the mix what's driving it right now, it really is the overhang. What's depressing it, I'd say, is the overhang of the single axle trailers that we've seen that uptick up to the 24% level. We're still generating nice organic growth, and that's expected to continue to expand when we look at the number for the first quarter in comparison, I expect that to be closer to call organic growth that we would typically like to see. It really is the single axle mix that is depressing the content number at this stage, not pricing.
Jason Lippert: Yes. When you consider how much single axle mix there is today, and there's -- you have a few windows. You don't really have much furniture, one axle to slide out, small chassis, consider those things and the fact that we're still we're still doing as well as we are from an organic standpoint. And I think that says a lot about where we're gaining share and where we're innovating and placing new products that are creating opportunities for us on the top line side that we didn't have a year ago.
Michael Swartz: Okay. Okay. Great. And just a follow-up on that. I think, Jason, you had mentioned on the call the plan over time when mix and production kind of normalize, you do expect to be in that 3% to 5% organic range. It sounds like you're going to be there in the first quarter. Is -- is that safe to say that we should be within that 3% to 5% range for the full year for 2025?
Jason Lippert: Yes. I think it's reasonable.
Lillian Etzkorn: Yes. No, I'd say that's reasonable.
Jason Lippert: Yes. Mix, we're mix -- were to really go the other way and then not get closer to normalizing than we'd have other conversations, but we feel pretty good about that.
Operator: Our next question is from Patrick Buckley from Jefferies.
Patrick Buckley: On the January results, I guess within that 17% increase in RV OEM sales, how much of that growth was from underlying increase in demand at the retail level. And I guess was any of that increase driven by OEMs trying to stay ahead of tariffs or in anticipation to potential rebound for the spring selling season?
Jason Lippert: Yes. I would say that I don't think that there was any buy [ ad ] or anything like that from a tariff perspective or fears that the pricing was going to go up what was driven by retail demand. I think most of the -- again, I'll go back to Blue Compass. I think they finished the month over 20% up over the prior year, which is really a good sign considering they're the second largest retailer talk to [ Canton], we're all let talk to [ Fontan ] in general and a lot of those guys and they're -- I'd say that the overall commentary is that retail is good. It's not great. It's not -- it's certainly better than last year. So I think that we're in a decent spot from a retail perspective.
Patrick Buckley: Great. Got it. And then I guess, taking a look at the marine market, I think you included expectations for a second half rebound in your slides. I guess what's the current sentiment with the dollars right now? Is -- are you starting to see more willingness to take inventories? Or is that going to be destocking through the first half? And I guess what gives you confidence in that second half rebound?
Jason Lippert: Well, I mean, they're kind of -- it feels like they're 1.5 years behind the RV cycle that we just went through and are now coming out of -- we do feel that the second half on the marine. The marine retail will start to pick up and impact the wholesale demand. But I think that the dealers, in general, are trying to work through a lot of inventory. And we're seeing it on the production side right now. And when it does turn, it really impacts our marine business positively obviously, because it's been -- the last 6 months have been tough. And there's one or some who just out there, I think that there's both companies that are really struggling and there are some that are doing pretty well, considering the environment we're in. So that's kind of how I categorize that.
Operator: Our next question is from Brandon RollÃ© from D.A. Davidson.
Brandon Rollé: First, just on tariffs. I think recently, you had disclosed that your import mix is 30% imported. What percentage is specifically China? And what percentage is specifically Mexico? And what percentage would any other major buckets be?
Lillian Etzkorn: And so we have not -- and we're not anticipating to disclose the bucket by country in our 10-K. What you will see full transparency here, is we -- when we do publish the 2024 later this month, you will see a slight uptick year-to-year in terms of the imports. And just to address that proactively. It's not that we're increasing our exposure to the international markets. It was more so managing the timing of one Chinese New Year purchases, both for 2023, more of those purchases fell into 2024, and we pulled ahead some of the purchases from 2025 into 2024 in anticipation of the tariffs. So net-net, you'll see a slight uptick in the 10-K, but it's not from a resourcing. It was just supply chain management and how we procure the inventory. Again, from the overall tariff impact from what we know today, Brandon, is we have roughly 50 bps exposure to the China tariffs that we're working to mitigate the tariffs on steel and aluminum that we are global. We have pricing pass-through mechanisms already in place with our customers that we've utilized through many years. We'll continue to utilize that. And as the administration continues to evaluate incremental tariffs, potentially, the team is poised to act just operate and continue to look to mitigate those going forward.
Jason Lippert: Most of our imports are outside of North America. So we don't disclose the exact amount, but a lot of it's outside North America.
Brandon Rollé: Okay. And then on OEM revenue. Revenues were down $37 million, but EBIT was up $14 million. Last quarter, you had said you didn't expect any inventory gains during the fourth quarter, but this dynamic does seem to imply there was some in the quarter. How large were they, if any, [indiscernible]?
Jason Lippert: Without disclosing how much we did -- once we knew the new administration was going to look at imposing tariffs, we did do some buy [ aheads ] on certain products, just to make sure that we were covering ourselves there. We're certainly in a good cash position to be able to do that, and we want to protect our customers the best we can from some of this pricing and be able to delay it as long as we can. So we did do some bias as Lilly mentioned a minute ago. And some of that came in Q4.
Brandon Rollé: Okay. And just finally, I just wanted to touch on volumes versus content per unit dynamic this year. The Towable industry shipments were up 1.5% but entering this year, you had mentioned production versus shipments and 23 lag production by about 30,000 to 35,000 units where you said production was actually [ $2.75 to $2.80 ] versus the 313. So by shipping in line with production, your volumes should have been up in the 25% to 30% range. So I'm just trying to square the dynamic with towable revenues only up 1.5% this year. Could you explain that disconnect?
Lillian Etzkorn: Yes. So really, the biggest driver there is going to be the shift in mix that we've been talking about with the single axle units being lower price points, frankly, compared to the prior units. So that's going to be driving the biggest delta there that would account for that.
Jason Lippert: There's a lot of -- there's big content drops when you consider a unit that might be built at 2 axles, a couple of slide outs, all the other furniture content and chassis content, you see, I mean, our chassis goes from  [ $253,000], down to [ $400,000 ] on a single axle unit. So the mix shift has a big impact on that.
Brandon Rollé: Okay. Because it seems like content per unit is down almost 17% over a 2-year period. but we continue to hear about share gains. So I was just trying to square that. So it's just all due to mix then.
Lillian Etzkorn: Yes. Brandon a reminder on that, there's probably a couple of big levers there, and then we should move on to allow others to come through the queue. You had the pricing pass-through, which related to a cost reduction that drive the price down the content value down. The mix is a tremendous impact as well. And that's offset and mitigated or slightly mitigated by the organic content increase. So you had 2 big drivers down that are unrelated to organic comps in the unit.
Jason Lippert: And the reminder, content dollars are up 50% since 2021. So that's just an easy way to look at it.
Operator: Our next question is from Tristan Thomas-Martin from BMO Capital Markets.
Tristan Thomas-Martin: Just trying to kind of wrap my mind around how it works. I think in 2024, right, steel pricing was coming down, so that was a tailwind. If we start to see sale pricing go up because of tariffs after that kind of, call it, quarter to 2 kind of pass through, does that mean it becomes a headwind?
Lillian Etzkorn: And just to make sure we're answering the question the way you're intending in terms of a content number or in terms of material costs, because there's going to be a difference there, right? Your material you'll start to see if the cost increases for steel due to tariffs, you'll see the material cost hit. And then there can be a lag of up to one to 2 quarters for the pricing to take hold. So you'll have a little bit of a lag there, if that's what you're trying to capture, Tristan, in your assessment. Net-net, 0it neutralizes, but it can take a quarter or 2 to catch up.
Jason Lippert: Right. And I would say, too, that as steel pricing did fall as you explained a second ago, over the last year, we're more toward historical I'd say, normalized historical lower steel costs. So I think that the OEMs probably and their standard bills have baked in maybe a little bit higher steel than what we're seeing today at the lows, I'd be more concerned if we were jumping up 20% or 30% on cost and getting back up to $0.50 a pound or $0.60 a pound where we saw some of that land and during COVID, but it's -- we're back into the 30s right now.
Tristan Thomas-Martin: Okay. Yes. I was kind of trying to get out of -- theoretically, there could be a quarter or 2 benefit before things kind of normalize just I think low in your answer. And just typically, you would -- and then just one more quick question. The 2027 [indiscernible], what industry volumes is kind of underpinning that?
Jason Lippert: Close to, I would say, close to a 400,000 unit run rate which is pretty normal. If you look at the last -- you look at the last decade of wholesale production.
Operator: Our next question is from Alice Wycklendt from Baird.
Alice Wycklendt: I think if I look at your 2025 outlook, the range of retail sales is in excess of the range of wholesale shipments. What's the rationale for the expectation that dealer inventory might come down again at a time when I think the industry seems to think that inventory is pretty clean?
Jason Lippert: To your question, if we think inventory could come down, dealer inventory could come down?
Alice Wycklendt: Yes. I mean I think that's what's implied by the range of retail being higher than wholesale shipments. So just wondering if you think that means that dealer inventory has to come down more.
Jason Lippert: I don't really have -- I mean it's such a -- there's such small moves. I don't really have a feeling one way or the other. A lot of it's -- I think retail is going to be this year, and we can take the range that we've put out of $3.45 to $3.60, I'd bet on it. I don't know if I'm answering your question, Alice.
Alice Wycklendt: That helps. That's great. And then maybe just -- I think you've mentioned a robust M&A pipeline. Can you provide a little bit more detail on what you're seeing there and kind of the opportunities out in the market right now?
Jason Lippert: Yes. Obviously, we crunched cash the last couple of years to get to our 1.5 to 2x leverage. We're having a lot of conversations right now. We've got acquisitions that were -- targets that we're looking at in all of our diversified businesses, including RV and Marine. We got a couple that we're talking to right now. We're hopeful we're going to do some M&A this year, but it's been a couple of years of just kind of keeping quiet. And I'd say the conversations are -- we're having a lot of them, and we -- our pipeline is full.
Operator: This concludes our Q&A session. So I'll hand back to Jason for closing remarks.
Jason Lippert: Thanks, everybody, for joining the call. We're excited about some of the inflection we've seen in the volume and hope to report a good quarter next quarter. We'll talk to you then. Thanks. Bye-bye.
Operator: This concludes today's call. Thank you for joining us. You may now disconnect your lines.